Operator: Hello and welcome to CorEnergy's Conference Call to discuss Fourth Quarter 2022 Results. At this time, all participants are in placed on listen-only mode. The floor will be open for questions and comments following the presentation. [Operator Instructions] I would now like to turn the call over to Matt Kreps, Investor Relations for CorEnergy. Please go ahead.
Matt Kreps: Thank you, Paul and thank you everyone for joining today's CorEnergy Infrastructure Trust conference call. With me today are Dave Schulte, CEO and Chairman; Robert Waldron, President and CFO; and Chris Huffman, Chief Accounting Officer. Dave, Robert and Chris will provide updates on our business operations and results and all three will be available for Q&A. I would also like to introduce Jeff Teeven, our Vice President of Finance who is joining the call today. JT has been an integral part of CorEnergy for many years and will be taking over the investor relations role as Debbie Hagen and I exit our roles with the company. It's been a pleasure to meet many of you and to be a part of an amazing team. Earlier this morning we published a press release, announcing the fourth quarter results for 2022. We expect to file our Form 10-K later today. I'd like to remind everyone that the statements made during the course of this presentation that are not purely historical may be forward-looking statements and subject to the safe harbor protection available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. Those documents are available on the Investor Relations section of our website. We do not update our forward-looking statements. During this call, we will also make reference to certain non-GAAP metrics, which are reconciled in our filings as part of our results reporting. We encourage all of you to review our complete disclosures risk factors, GAAP numbers and those non-GAAP metrics with the related reconciliations. And with that, I would like to now turn the call over to Dave Schulte. Please, go ahead.
David Schulte: Thanks Matt. Good morning, everyone. It's been an eventful couple of months and a period of change for CorEnergy. We will discuss the challenges we're facing and our responses, including streamlining our executive team. I want to begin by introducing Robert Waldron as the new President of CorEnergy. In this role, Robert will oversee both the Crimson and MoGas organizations as well as take on increased responsibility over the day-to-day operations. Robert will continue to serve as CFO for the near term. He has a long diverse career in the energy sector with experience as an engineer, finance professional, and a business executive. Robert joined Crimson in 2014 as CFO and has been active in all facets of the business since that time. His knowledge of our California pipeline operations has been a valuable asset to me and I believe to our investors as we have navigated uncertain times over the past two years. And CorEnergy acquired Crimson, it was an easy decision to offer Robert the CorEnergy's CFO role, and I believe the company and share will benefit greatly from his expanding influence as President. I would also like to introduce Chris Huffman, our Chief Accounting Officer, who will present the financial report today as we expand and enhance his leadership role at CorEnergy. Chris has been an integral part of our senior leadership team since 2021. Prior to that, he served 10 years as Chief Accounting Officer at a private E&P company and began his career at PWC. Company is fortunate to have such a knowledgeable accountant and a strong leader. I'm excited for both of these colleagues as they expand their influence at CorEnergy. I'll now turn over the call to Robert, who will spend a couple of minutes updating you on our operations, and then Chris will provide the financial comments and outlook. Robert?
Robert Waldron: Thanks Dave. I'm grateful and humbled by the confidence and support showing by the Board, Dave and the rest of the CorEnergy organization in my new role as President. The CorEnergy team from top to bottom, including a deep finance and accounting group supporting me is best-in-class and I'm excited about our future. Turning to the recent quarter. The fourth quarter saw continued steady performance from our predictable MoGas and Omega natural gas operations that served St. Louis in the surrounding areas. We have several projects in the work for MoGas and Omega. For example, on Omega, we received a notice to proceed on the utility energy service contract project at Fort Leonard, where our Omega system is the natural gas local delivery system for the base. Activities are expected to begin in mid-2024. For MoGas, we are evaluating a project to support potential increasing customer demand on that system. These potential projects would add additional long-term contracted revenue to that division. Turning to our Crimson assets. On our last call, we indicated that Crimson's volumes increased in the third quarter 2022 due to operational issues elsewhere in California, which continued into the fourth quarter. However, we noted this was a temporary increase. The third-party operational issues have now been resolved in February, and volumes have returned to a lower level, closer to Q2, 2022 volumes, which we believe will continue indefinitely. We believe the disruption in global supply patterns, which began a year ago, are still influencing California refiners and we have experienced unprecedented volume shifts as a result. In order to offset the volume declines in the first quarter of 2023, Crimson filed a 36% rate increase on its San Pablo Bay pipeline and 107% rate increase on its KLM pipeline based on the regulated cost of service tariff structure. The SPB filing was protested by shippers and will proceed through the CPUC process with resolution expected in 2024 or 2025. The KLM filing is expected to be resolved shortly thereafter. However, we are always open to negotiating with our shippers to find a resolution acceptable to all parties, which could result in matters being resolved earlier. In California, we continue to believe our Crimson pipelines are a critical link in the state's energy infrastructure, operating under fixed tariffs for volumes transported with long-term investment grade customers. While the last year has been more challenging -- has been a more challenging time for Crimson when we had planned, we believe these assets will profitably fulfill critical energy needs in California for decades to come. Looking to the future, our Crimson assets have significant untapped value in the energy transition in California. Even as we work through these present challenges, we are advancing our readiness for the new hydrogen and carbon capture and sequestration markets emerging in California. Our Crimson systems and rights of way provide a critical linkage between large carbon emission sources and prospective storage reservoirs, an asset we believe would be difficult or even impossible to replicate today. We are working with multiple parties to determine the best path forward in these new market opportunities. The commercial case for CO2 capture is better in California than in any other state. The recent federal legislation increased carbon capture credits from $50 a ton to $85 a ton and $180 a ton for direct air capture. Plus in many cases, it's possible to also take advantage of the LCFS credit. The California Air Resources Board has set aggressive climate goals of a 40% reduction in carbon emissions by 2030 and carbon neutrality by 2045, and identified DCS as a central pillar to their target. Finally, we continue to make progress on our ESG initiatives. We intend to publish an updated ESG progress report, update with the filing of our 10-K for 2022. Some of the highlights include Scope 1 and 2 emissions have been reduced by 56% from the 2021 baseline. We have initiated a plan to reduce methane emissions by an estimated 65% by 2025, and we have implemented board oversight of wide-ranging cybersecurity and ESG programs for our critical business system. With that, I'll turn it over to Chris to address the financials and other notable items.
Chris Huffman: Thanks Robert. Since the majority of our assets are regulated, we always have the option to increase tariffs to offset declining volumes and/or increasing costs. But we only do so after we've exhausted other avenues such as improved cost efficiencies. We previously announced and began collecting a 10% tariff increase on Crimson KLM system and a 10% tariff increase from the proposed 35% tariff increase on Crimson Southern California system in Q3, 2022. The company plans to file again collecting an additional 10% increase on the Southern California SPB and KLM systems on the anniversary date of their original filings until the matters are resolved. We believe Crimson's cost of service fully justifies all requested increases. However, at less than $2 per barrel for most shipping routes on our system, we believe our rates are economically advantageous to our customers and the environment compared to the alternatives. Our rates are not the reason for volume shifts away from our pipelines in our opinion. Looking at the results. Fourth quarter revenue was $36.5 million, an increase from $33 million last quarter as a result of steady performance from MoGas and Omega and improved volumes in California. We expect the Q1, 2023 California volumes to be less than in Q4 as the operational issues that occurred in 2022 with a third-party pipeline have been addressed during February 2023. For the three months ended December 31, 2022, we had adjusted EBITDA of $9.4 million and adjusted net loss of $553,000. CAD was a negative $2.8 million, impacting our ability to cover dividends. As such, the Board concurred with management's recommendation to suspend dividends on both our Series A preferred and common equity. CorEnergy's 7.375% Series A cumulative redeemable preferred stock will accrue dividends during any period in which dividends are not paid. In the accrued Series A cumulative redeemable preferred dividends must be paid prior to the company resuming common dividend payments. Consistent with our practice, our Board will continue to evaluate dividends each quarter, making the decision on dividend payments based upon the most current data available. It is our goal to successfully bring the business through this difficult period and resume dividend payments as soon as is practical. To wrap up our 2022 commentary, unfortunately, on March 3, 2023, after discussion with the company's management, our Audit Committee determined the company's 2021 10-K and 2021 and 2022 10-Qs require restatement due to an error in its accounting for EPS arising from over-allocation of Crimson net income to non-controlling interests. The statement does not affect key metrics the company previously disclosed for these periods, including net loss, adjusted net income, CAD and adjusted EBITDA and had no impact on the company's evaluation or decisions, including declarations of preferred or common stock dividends. I would refer you to our 8-K that was filed earlier today for additional information. We're introducing our 2023 adjusted EBITDA outlook of $33 million to $35 million, inclusive of maintenance expense in the range of $9 million to $10 million. Maintenance capital expenditures are expected to be in the range of $10 million to $11 million. These costs are not expected to be uniform throughout the year due to project timing. In Q1, 2023, in response to the tough market conditions, we have realigned our corporate structure, reduced corporate G&A, reduced 2022 incentive bonus payouts and senior management took a 10% salary reduction. The impact of all these actions are included in both our 2023 outlook and rate case filings. The management realignment, which is expected to reduce the layers of management and streamline the organization will result in a $1.1 million restructuring charge in Q1, 2023. Liquidity at quarter end was approximately $32.8 million including cash of $17.8 million and $15 million of undrawn revolver availability. Our credit facility does place certain restrictions on utilization of cash and revolver capacity. Finally, in February 2023, we amended our credit facility to extend the maturity to May 2024 as well as defer the step down in certain covenant ratios from Q1, 2023 to Q3, 2023. This will provide us additional time to manage our near term debt maturities and pursue previously announced asset monetization and leverage reduction initiatives. At this time, we will take questions from our covering analysts or institutional stockholders before closing the call. Thank you.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] And we did have a question coming from Selman Akyol from Stifel. Selman, your line is live.
Selman Akyol: Thank you. Good morning. Can you -- is there any update, I guess, on in terms of the monetization initiatives that you've undertaken and what assets you're looking at potentially to use to reduce debt.
Robert Waldron: Yeah. Selman, I'll take that. We don't have anything to announce yet on that. As we think about the company, obviously, the first -- one of the first things you think about is monetizing assets to decrease leverage and provide a little more breathing room from our covenants. And so, we're looking at all opportunities there as well as refinancing opportunities and longer term projects. But nothing specific to announce yet on the asset monetization side.
Selman Akyol: Gotcha. And then, as I think about your credit facility being extended, I guess, essentially by three months. Then, I guess, that would become current in May of this year.
Robert Waldron: It will.
Selman Akyol: Okay. All right. And then thinking about sort of your expenditures that you've gotten. And I noticed you said they're going to be lumpy. But is there anything to just help us with timing in terms of how you expect to incur those expenses.
Robert Waldron: So, the lumpiness and you can see how that lumpiness has occurred in our disclosure in the MD&A section. We disclosed asset maintenance expense, which is inside of EBITDA, it's an operating expense, and then maintenance capital separately. So, it's hard to predict those. We actually have done a lot of work on in 2023 budgeting process to try to smooth them out and have -- so it won't -- we don't anticipate it to be as lumpy as it was last year. But it's really hard to say quarter-to-quarter exactly what that will be.
Selman Akyol: Okay. And when that will be incurred. Okay. And last one for me. When do you guys anticipate having your payout?
Robert Waldron: Chris, do you have the date on that?
Chris Huffman: We don't have a specific date yet, but we don't expect it to go beyond the end of March, which would be our kind of filing deadline within the 90 days.
Selman Akyol: Got it. All right. I think that does it for me. Thank you very much.
Robert Waldron: Thanks Selman.
Operator: Thank you. And I would now like to hand the call back to Dave Schulte for some closing remarks. Dave?
End of Q&A:
David Schulte: Yeah. Thank you all for joining us today. This is a challenging period, but we are moving forward to resolve the underlying issues and we'll provide updates as appropriate. Feel free to contact our IR team if you'd like to arrange a meeting time or a call. Thank you and have a great day.
Operator: Thank you. This does conclude today's conference. You may disconnect at this time, and have a wonderful day. Thank you for your participation.